Operator: Good morning, ladies and gentlemen, and welcome to the Pembina Pipeline Corporation First Quarter 2024 Results Conference Call. [Operator Instructions] This call is being recorded on Friday, May 10, 2024. I would now like to turn the conference over to Dan Tucunel, Vice President of Capital Markets. Please go ahead. 
Dan Tucunel: Thank you, Alan. Good morning, everyone. Welcome to Pembina's conference call and webcast to review highlights for the first quarter of 2024. On the call today, we have Scott Burrows, President and Chief Executive Officer; and Cameron Goldade, Senior Vice President and Chief Financial Officer, along with other members of Pembina's leadership team, including Jaret Sprott, Janet Loduca, Stu Taylor, and Chris Scherman. I would like to remind you that some of the comments made today may be forward looking in nature and are based on Pembina's current expectations, estimates, judgments, and projections. Forward-looking statements we may express or imply today are subject to risks and uncertainties which could cause actual results to differ materially from expectations. Further, some of the information provided refers to non-GAAP measures. To learn more about these forward-looking statements and non-GAAP measures, please see the company's Management's Discussion and Analysis dated May 9, 2024, for the period ended March 31, 2024, as well as the press release Pembina issued yesterday, which are all available online at pembina.com and on both SEDAR and EDGAR. I will now turn things over to Scott to make some opening remarks. 
J. Burrows: Thanks, Dan. A strong first quarter was highlighted by a record adjusted EBITDA of CAD 1.044 billion, which provided a great start to 2024 and built upon our great momentum from the second half of 2023. In addition, recent industry developments and company successes have further bolstered our enthusiasm for the future of Pembina. On April 1, 2024, we announced the completion of the Alliance and Aux Sable acquisition. We are excited to further enhance our business by increasing our ownership in these unique and world-class assets. The Alliance and Aux Sable acquisition aligns with Pembina's strategy of growing and strengthening our existing franchise and providing greater exposure to resilient end use markets and lighter hydrocarbons. We executed this transaction with discipline and accretively to our financial guardrails. In conjunction with the acquisition closing, Pembina updated its 2024 adjusted EBITDA guidance range to CAD 4.05 billion to CAD 4.30 billion, which at the midpoint represents a CAD 300 million increase over the previous range. The revised outlook for 2024 primarily reflects the incremental contribution from increased ownership of Alliance and Aux Sable, as well as stronger outlook in the marketing business due to wider frac spreads. As previously announced during the first quarter, Pembina entered into a long-term agreement with Dow Chemical to supply and transport up to 50,000 barrels per day of ethane to support the recently announced construction of a new integrated ethylene cracker and derivatives facility in Fort Saskatchewan. Dow's Path2Zero project is an important development for the industry, representing a significant increase to the current ethane demand in Alberta. Given Pembina's existing leading ethane supply and transportation business and extensive integrated value chain, there are multiple opportunities for the company to benefit from this new development through both existing asset base and new investment opportunities. Finally, Pembina recently announced significant achievements in the development of the proposed Cedar LNG project, including securing long term commercial agreements and issuing a notice to proceed to its engineering, procurement, and construction contractors. Following these critical milestones, Cedar LNG and Pembina's partner, the Haisla Nation, have commenced their respective financing processes in advance of a final investment decision, which is expected by June 2024. On the major project front, the Phase VIII Peace Pipeline expansion has entered the commissioning stage and startup is expected this month, as well the RFS IV expansion at the Redwater complex and the Northeast B.C. mid-point pump station expansion are proceeding as planned, and during the first quarter, Pembina Gas Infrastructure approved an expansion at the Wapiti Gas Plant that will increase natural gas processing capacity by 115 million cubic feet per day. Additionally, Pembina continues to evaluate further expansions to support volume growth in Northeast B.C., including new pipelines and terminal upgrades on the Northeast B.C. pipeline and downstream systems between Taylor, British Columbia and Gordondale, Alberta. On April 23, 2024, Pembina filed its project application with the Canadian Energy Regulator. And finally, we are pleased to have raised our quarterly common share dividend by CAD 0.0225 per share, or 3.4%, beginning with the dividend to be paid in June. The increase reflects the continued growth of Pembina's fee-based business, which is benefiting from rising volumes and increasing utilization across many of its assets. We recognize the importance of our sustainable, reliable, and growing dividend to our shareholders, and we are proud of our long track record in this regard. It has been a very strong start to 2024, and we look forward to continuing the momentum. I will now turn things over to Cam to discuss in more detail the financial highlights for the first quarter. 
Cameron Goldade: Thanks, Scott. As Scott noted, Pembina recorded record first quarter adjusted EBITDA of CAD 1.044 billion. This represents a 10% increase over the same period in the prior year. In Pipelines, factors impacting the first quarter primarily included higher revenues and volumes on the Peace Pipeline system, the Northern Pipeline system outage in the first quarter of 2023, which had an impact of CAD 40 million with no similar impacts for the first quarter of 2024. The reactivation of the Nipisi Pipeline and higher contribution from Alliance Pipeline related to higher tolls on seasonal contracts. In Facilities, factors impacting the first quarter included higher volumes at the Redwater Complex and Younger compared to the first quarter of 2023 as the prior period was impacted by CAD 14 million due to the Northern Pipeline system outage and higher operating expenses. In Marketing & New Ventures, first quarter results reflected the net impact of higher contribution from Aux Sable due to wider frac spreads and the new third-party marketing arrangement, change in the provision related to financial assurances for Cedar LNG, and realized losses on NGL-based derivatives in the first quarter of 2024 compared to realized gains in the first quarter of 2023. Finally, the Corporate segment was impacted by higher general and administrative costs, net of lower long-term incentive costs. Earnings in the fourth quarter were CAD 438 million. This represents a 19% increase over the same period in the prior year. In addition to the factors impacting adjusted EBITDA, earnings in the first quarter were impacted by unrealized losses on renewable power purchase agreements and on crude oil-based derivatives, compared to unrealized gains in the first quarter of 2023 and lower income tax expense. Pipeline volumes of 2.6 million barrels per day in the first quarter represent a 5% increase compared to the same period in the prior year. The increase was primarily due to higher volumes on the Peace Pipeline system resulting from earlier recognition of take-or-pay deferred revenue and the impact of the Northern Pipeline system outage in the first quarter of 2023, combined with the reactivation of the Nipisi Pipeline. Facilities volumes of 0.8 million barrels per day in the first quarter of 2024 represent a 12% increase compared to the same period in the prior year. The increase was primarily due to higher volumes at the Redwater Complex and Younger as the first quarter of 2023 was impacted by the Northern Pipeline system outage, combined with higher interruptible volumes on certain PGI assets. Pembina continues to generate significant cash flow after dividends and maintain its strong balance sheet. At March 31, 2024, based on the trailing 12 months, the ratio of proportionally consolidated debt to adjusted EBITDA was 3.4x, below the low end of its target range. I'll now turn things back to Scott. 
J. Burrows: Thanks, Cam. For a few years now, Pembina has been highlighting key developments within the western Canadian energy industry that we believe will catalyze a wave of growth that will benefit Pembina, its customers, and all Canadians. These developments include LNG projects on Canada's west coast, the growth of Alberta's petrochemical industry, and the Trans Mountain pipeline expansion. All of us at Pembina wish to join the rest of industry and many others across Canada in celebrating the first of these to reach the finish line. The recent completion and shipment of first oil on the Trans Mountain pipeline expansion. This project brings much-needed new egress capacity for oil producers, providing greater access to global markets, and full value for Canada's energy resources, while helping to ensure responsibly produced energy is available to meet growing global demand. In closing, I want to remind you that Pembina will hold its annual meeting of common shareholders today at 2:00 p.m. Mountain time, 4:00 p.m. Eastern. It will be a virtual-only meeting conducted via live audio webcast. Participants are recommended to register for the virtual webcast at least 10 minutes before the presentation start time. Further, Pembina will hold our 2024 Investor Day in Toronto on May 16, beginning at 8:30 Eastern time. Our team is excited to provide an overview of the business and discuss in greater detail our strategy and the outlook for the company amidst truly transformational changes underway in the western Canadian energy industry. A live webcast event will be available on Pembina's website, and participants are encouraged to register well in advance. For further information on both the Annual Meeting and Investor Day, please visit the Investor tab at www.pembina.com. We would once again like to thank all our stakeholders for their support. Operator, please go ahead and open up the line for questions. 
Operator: [Operator Instructions] Your first question comes from Jeremy Tonet of JPMorgan. 
Jeremy Tonet: I just want to dive in a little bit more on the fundamentals as you see them before you. And just if you could walk through, I guess, producer customer conversations at this point and how you see activity unfolding over the balance of this year, the cadence of growth and how you see, I guess, that trajectory at this point. 
J. Burrows: Yes, I'll start, Jeremy, and I'll invite any of my colleagues to jump in. I think what we're seeing is continued strong results across the board. Just previewing some of the results this week and last week, we're seeing many of our producers come in above expectations especially driven by strong condensate pricing, strong oil pricing, and again, in anticipation of some of these transformational events that we've been talking about for a while now. So, the conversations with producers have been great. The results are showing through, and we're seeing a lot of momentum in the business. 
Cameron Goldade: Jeremy, it's Cam here. Maybe I'll just add that I think one of the things that we think makes Pembina unique is obviously our exposure to all the commodities in the industry here in the hydrocarbon value chain. And I think as you've seen results come out that Scott referenced, some folks who have the optionality to allocate capital between drier gas and more liquids rich gas are indeed shifting towards the liquids rich gas. And obviously both of those work for Pembina given the exposure in our portfolio. So, we see that as a real unique element for us and continue to see good runway in 2024. 
Jeremy Tonet: And a little bit more time having passed since the Dow announcement. Just wondering if there's any incremental details or thoughts you could provide as far as the scope of the opportunity set and what it could mean for Pembina, particularly operating leverage versus brownfield versus greenfield opportunities. 
J. Burrows: Jeremy, I think we'll dive into that a little bit more next week at our Investor Day. So we'll answer your question, but we'll do it next week. 
Jeremy Tonet: Fair enough. And I think I might get the same answer for this one, but I'll try nonetheless. With leverage having fallen below, I guess, your targeted range, just any updated thoughts on capital allocation between growth CapEx, bolt-ons, dividend growth, buybacks, what have you? 
Cameron Goldade: Yes, it's a fair comment, Jeremy. And I think as we look out at 2024 and 2025, potentially even the year after that, 2026, if we look at where we are today with some of the capital, the investment in Cedar through to the middle of this year, we're depending on where you choose your point in the range, we're relatively on point with funding all that capital with cash flow after dividends. And if you take forward that proxy and assume that we make a positive FID on Cedar later this year, 2025, probably not that different. And so, we continue to think that the most accretive and best use of that capital right now, obviously, are those opportunities which are in strategy and provide long-term annuities with strong counterparties and downside protection. That said, if something changes there, we'll do the same thing as we've always done and look at the opportunity set between repayment of debt. Obviously, we are at the low end of the range right now. Incremental buybacks, if they make sense from a capital allocation perspective, or other opportunities. Obviously, we continue to have a backlog beyond the things we're talking about and continue to advance those. So, probably not much different from what you heard from us in the past. 
Operator: Your next question comes from Rob Hope of Scotiabank. 
Robert Hope: I want to just ask on Alliance and Aux Sable. So, it's been in your hands for a little while now. Obviously, an asset you know well, but how are you progressing on thinking about commercial synergies there? And what is the timeline that we could potentially look to? 
Jaret Sprott: Rob, Jaret here. So, yeah, April 2, we brought over 161 employees over to Pembina. So, step one is obviously business continuity, just working with Enbridge through the transition service agreement. And everything is going extremely well. We're just over a month into that. Commercial opportunities, I think it's a little bit early there right now, but the short term synergies that we had talked about when we announced the deal, those are going extremely well. And then that midterm- to longer-term synergies, expansions, different commercial opportunities just continuing to be worked on. Like you said, we know the asset well. We were the commercial operator of Alliance previously, and just continuing to work that and hopefully provide more color in the near future. 
Cameron Goldade: And, Rob, maybe I'll just jump in. It's Cam. I think maybe to say it a different way, so far, nothing we've seen is deviating us from what we saw at the time of the announcement. We're tracking with the near term synergies that were immediately executable and continue to progress the ones that would obviously take a little bit more time. But we're not seeing anything at the moment that is necessarily derailing us from what we saw. Everything seems to be on track. 
J. Burrows: And I'll just pile on in terms of operations, not a synergy, but certainly with what's going on with Chicago gas price being a little bit lower than historical, we've seen a short-term tailwind at Aux Sable just with where frac spreads are. So, currently for 2024, Aux Sable was tracking above our acquisition model. 
Robert Hope: And then actually maybe sticking with Marketing, a nice tailwind for the quarter. How are the spreads looking moving forward? And then can you add a little bit of color on the new marketing arrangement that was highlighted in the MD&A as a driver to your performance? 
Chris Scherman: Rob, Chris Scherman. I think we definitely saw in Q1, as others referenced, really positive frac spreads. Gas in particular ended up being a tailwind there, as well as obviously some positive momentum on the crude side, which pulled up NGLs. We're still seeing some of that same tailwind, although a little bit muted here over the last couple weeks, as I think U.S. gas prices have come up a little bit, but in particular, NGL prices are seeing a little bit of pressure with some bigger inventory numbers. That said, we remain fairly positive on frac spreads for the remainder of the year and optimistic on that. 
Cameron Goldade: And Rob, just on your second question, so the reference to the new marketing agreement is the same reference that we made at the time that we announced the acquisition of Alliance and Aux Sable. This would obviously be the first quarter where it's been in place. We'll go into specific details on it, as is customary for us with commercial agreements. But what I would say is that this agreement is simpler than the former one and obviously does create some opportunities for us in certain environments and down the line. So, a simplification and obviously some different participation at different pricing thresholds. 
Operator: Your next question comes from Linda Ezergailis of TD Cowen. 
Linda Ezergailis: I'll try to high-grade my high level questions, knowing that you're going to be sharing a lot with us at Investor Day. So, maybe more in the near term. We're hearing of low water levels in western Canada. We're hearing it's dry. There's concerns about wildfire risk. How are you preparing for that maybe in your marketing business and your operations? What is embedded into your guidance already versus maybe an emerging headwind for that? And can you talk us through what you're seeing on the ground and what your expectations are in terms of bookends of what the impact might be even on volumes on your systems as facilities might even be preemptively shut down in advance of certain wildfires in the areas you operate, etc.? 
Jaret Sprott: Linda, Jaret here. With respect to the first question, water levels and it being dry, that is 100% accurate. The conversations we have with our customers to date is the majority of our customers have retained the water that's required in their pits and/or their storage facilities. A lot of our customers have recycling operations, etc. So, that's what we're hearing from them to date is that their ability to stimulate the wells go forward, they don't have a lot of concerns with that. Now, your second portion of the question was around wildfires. So, I would say, we're in a significantly better place as an industry, but definitely as an organization here at Pembina, we monitor wildfire activity on a 24/7 basis, and then there's nothing active to date near our assets that would give us any concern. There was no anticipation right now to be preemptively shutting in assets. And just to note, last year, any assets that we did shut in, they were primarily due to our ability to get our employees safely out of harm's way. So, the actual assets themselves were never in physical danger. It was the egress component is why we would have had to shut down last year. But I would say we're well-prepared, monitoring it, and hopefully we proceed through the summer. We just did get some pretty good rain here last few days, but definitely hoping for wetter weather. 
Linda Ezergailis: And maybe just a follow-on question. Again, in discussions with your customers, how are they evolving commercially in terms of full-path solutions versus discrete services? And what is the tilt in terms of the offerings that you are leading with in those discussions? 
J. Burrows: Linda, I would say no real change. Most of the discussions that we're continuing to have are integrated services, mainly pipe frac or gas plant pipe frac. I think the nice thing about having sanctioned RFS IV when we did was that we have that capacity coming online in 2026 in what is a relatively tight frac market. So, we think we're well positioned to continue our integrated value chain service offering. 
Operator: Your next question comes from Robert Catellier of CIBC Capital Markets. 
Robert Catellier: As you're aware, there were some media reports over the last couple of weeks about a potential off-take agreement and alluding to a potential sale of an equity stake in Cedar LNG. I don't expect you to comment on any specific transaction, but can you maybe describe in more detail your appetite to sell an equity stake in Cedar LNG at all? It sounded like from Cam's comments on the funding plan that Pembina doesn't need any external equity or an equity partner for that project. 
Stuart Taylor: Rob, it's Stu Taylor. We're continuing to progress our commercial conversations with a number of parties just on our intention to assign the Pembina capacity to an off-taker. With respect to the equity, there's no plans at this point in time for any equity structure change on the Cedar project. And at this point in time, all of those conversations would require approval from our partner as well. So, there is no equity change at this point in time. 
Robert Catellier: Okay. And just on assigning that capacity to a third party, I'm just curious if you see any benefit in waiting too closer to the commercial operating date in an effort to maximize value once the project is derisked? 
Stuart Taylor: We're looking at that, Rob. It's one of those things that we're looking at the timing. Nothing will take place until post-FID. We've been in conversations with a number of parties for a fair period of time. We continue to have ongoing conversations. And at the end of the day, we'll look at that timing. We think we have the opportunity to do the right deal for us, and so we'll evaluate that timing. And if the right deal comes in for us to execute, we will move on it. And if it means taking a bit more time, we'll do that as well. But we're actively engaged in conversations with people and making good progress on that. 
Robert Catellier: Okay. And finally, it sounds like this might have to wait until next week, but I'm curious if there's any update on how you plan to source the supply of that thing for the transportation agreement with Dow. 
Cameron Goldade: Yes. I think that's right, Rob. I think we'll probably punt that till next week and give everyone the benefit of rolling that out. 
Operator: Your next question comes from Ben Pham of BMO. 
Benjamin Pham: You mentioned the NEBC project. You have Cedar LNG and sounds like there's something on ethane Dow as well in terms of CapEx. And when you think about all those projects and maybe other projects ahead, where do you see annual CapEx spending the next 3 or 4 or 5 years, and at what point do you have to start to consider other sources of funding beyond the debt markets? 
Cameron Goldade: Ben, it's Cam. I think picking up on my earlier comments, I would say that if we look forward right now, and let's play out a couple of scenarios, if we proceed and make a positive final investment decision on Cedar, we're probably running right around cash flow after dividends in terms of capital levels for the next couple of years, and then the heavy piece of the Cedar spend starts to trail off then. If we think about longer term, obviously, that's a little bit harder to gauge, but obviously, we continue to advance the backlog. But what I would say is, we're very conscious of not only the nature of the projects, but how they fit together as a program in terms of our strategy and also the funding piece. So, it is certainly an important input to the capital allocation process. If we look at a scenario where we didn't, in fact, proceed with Cedar, just to play that out for a moment, obviously, we would have substantially more free cash flow to work with. And obviously, per my earlier comments, we'd look at the same alternatives that we've discussed already. But ultimately, we've got some pretty attractive opportunities in front of us. And I think provided those continue on the path they're on, we'll be running probably pretty close to free cash flow at those levels for the next couple of years, at least. 
Benjamin Pham: And apologies if I missed this. On your Facilities segment, you referenced operating expense pressure. I think that's the verbiage. Could you unpack that a bit? And can you also comment, is there anything you're seeing on maybe some of your producers curtailing production because of low ECHO prices? 
Jaret Sprott: Like we've said before, I'll take the second part of your question. The majority of our assets, if not all of our assets, are pretty much in the liquids-rich window. So, we haven't seen any curtailment. And if we have, it's been so immaterial that we haven't noticed it. Our customers have great condensate yields and great NGL yields, which ultimately, even in a low ECHO natural gas price, we're still seeing strong volumes through PGI, et cetera No, we're not seeing anything. And with respect to cost pressures, not seeing anything out of the ordinary. It's just a little bit more work in certain areas that wasn't totally contemplated at the time. But no, just your normal supply chain and inflation pressures, but nothing out of the ordinary that is keeping us up, that's for sure. 
Cameron Goldade: And, Ben, just to tag onto that, the one thing that we saw and did inform part of that variance this quarter was just you'll remember that the union agreement that was renegotiated in the port of Vancouver last year, that's showing up in the variance quarter over quarter in Q1. It's just a few million dollars, but that's part of the variance. 
Operator: Your next question comes from Zack Van Everen of TPH & Company. 
Zackery Van Everen: Just a question on the new pipeline you mentioned between Taylor and Gordondale. Would there be any additional infrastructure downstream needed to support that if you guys sanctioned that project? And then is there enough space on Peace and the fracs to accommodate the incremental liquids there? 
Jaret Sprott: Yes, so once we cross the border from Taylor to Gordondale, there's no material incremental like pipelining work that's required from Gordondale into the Edmonton and/or the Fort Saskatchewan market. We will require some pump stations on certain segments of the line, and that's primarily from Fox Creek into the market, Edmonton and Fort Saskatchewan. That has always been contemplated way back from the time of the Phase 3 expansion to grow those volumes. So we're extremely well positioned to capture those volumes without having to deploy a whole bunch of mainline capital. 
Zackery Van Everen: And then maybe one on LPG exports. It's been very topical here in the States. And I was just curious if you had any updates around Prince Rupert expanding, and do you need any additional facilities there if that would be sanctioned? 
Chris Scherman: Zack, it's Chris Scherman. We continue to see obviously this ramp up in western Canadian production, increased propane length in western Canada, as well we see the ramp up in the Lower 48. And that dynamic really pushes you towards the West Coast. We continue to look at our options there. We think we've got some really effective optimization options at our Prince Rupert facility, and we're looking to get more exposure to that market. So we continue to look at it and remain interested. 
Operator: Your next question comes from Cole Pereira of Stifel. 
Cole Pereira: Acknowledging you just completed an acquisition and you have a number of other large projects and opportunities in front of you. With TMX now in service, there's obviously still some uncertainty on tolls and other factors, but can you just refresh us on your thinking about how you see that asset fitting with your asset base and your strategy? 
Cameron Goldade: Cole, it's Cam here. What I would say is, I think, obviously, we've been quite clear that global exports are a critical pillar in our strategy. Obviously, you can see just from the last question what a focus it is for us on the NGL side, obviously on LNG as well with Cedar. That said, I think we've been pretty consistent for some time. There exists a great deal of uncertainty still on TMX. Obviously, one very important milestone has passed with the pipeline coming into service, but I understand that the toll resolution process is ongoing and is likely to take some time to see resolution. And from our perspective, there still exists a tremendous amount of uncertainty around that asset. And so, frankly, nothing has changed from our prior messaging in terms of that as an investment opportunity. It's not something we're spending a great deal of time on right now, but obviously global exports are always important in our strategy. 
Operator: Your next question comes from Robert Kwan of RBC Capital Markets. 
Robert Kwan: You've got a bunch of large projects, as you noted, [ LNG Canada ], TMX, and then your own Cedar. Just wondering, since you're talking with customers, what's the nature of the discussions at this point with respect to new projects following on those developments upstream infrastructure? Do you see a lot of potential there? 
J. Burrows: I think for us, a lot of that was captured over the last call it 12 to 24 months with some of our Northeast B.C. arrangements that we entered into. We're starting to see those projects come to fruition in the next 12 to 24 months, which should provide some incremental volume growth in '25 and into '26. I think a lot of people are continuing to, as Jaret said, drill in the rich areas, especially in the condensate-rich areas. With the outlook for increased oil demand and ergo incremental condensate need, we're seeing a lot of activity in the condensate window. So we are starting to see it, Rob, show up, but not just short-term, but as people are sanctioning some of these projects into '25 and '26. 
Robert Kwan: Just so I'm clear, you're talking about the 12 to 24 months, you're talking about projects that you've already announced or that you expect that we will see additional projects sanctioned over that next 12 to 24 months to drive the volumes? 
J. Burrows: I'm saying both. We're seeing some of the volumes that we locked up, call it, a year ago, we're going to start to see those volumes materialize on the system in the next 12 to 24 months. And then we're also seeing and talking to producers about some of their developments that they could potentially sanction over the next 12 to 24 months, which would then drive volume further on in the plan. And that's always been what's given us confidence from talking about volume growth in that 5% range, we almost talked about it annually because that's the line of sight we had. But now, for the last 12 months, we've been saying that we have a view that could continue on for a couple of years here at least because we have much more visibility into that. 
Robert Kwan: If you just look at the lower take-or-pay deferrals in the quarter, is that a function of a more bullish outlook or is that more so that you're just so deep into the fee-based components of the contracts that deferring is just overly conservative and unnecessary? 
Cameron Goldade: Rob, what it really comes down to is us having a number of years under our belt now in terms of observing history, how producers trend throughout the year, their history in terms of accessing those make-up rights. And now we have a statistical body of information which we can look at to create a higher degree of certainty where we can be comfortable recognizing those volumes early in the year than we have previously. 
Robert Kwan: And if I can just finish with a clarification. There's been a lot of talk around especially Cedar specifically but just CapEx and whether you would be free cash flow positive or neutral. When you're looking at Cedar, are you specifically looking at that as the equity contribution or are you looking at it as your proportional CapEx? 
Cameron Goldade: We're looking at it as our equity contribution. 
Operator: Your next question comes from Patrick Kenny of National Bank. 
Patrick Kenny: Wondering if you had any thoughts on how the destination of TMX volumes plays out here, Asia versus California, and how this dynamic might create opportunities for your tankage footprint or perhaps blending operations whether at North 40, Base Line, [ Duvernay ], you name it. Just your general thoughts on opportunities across your system. 
Chris Scherman: It's Chris. I think it's very difficult at this point for us to opine on where those volumes are going to end up, so we'll probably stay away from that one. But undoubtedly, there's some positive flow back into our business from that commerce going west, and I think it shows up to some degree in tanks as customers are trying to optimize flows east and west as well as they're trying to manage quality. So we definitely see a bit of a tailwind there and are optimistic about what it means for the basin more broadly, but certainly for our tankage in our business. 
Jaret Sprott: Obviously, Pat, the #1 significant impact to Pembina long-term, and I'm going to talk about this a little bit more next week, is increased egress, it'll raise the price of the heavier oils here in western Canada. That should spur on incremental supply that will require condensate. Obviously, Pembina has a fairly large condensate business with respect to Peace and Cochin, so higher utilization and incremental expansions to get more condensate into the Edmonton market, which ultimately will head up into the new supply that's coming on. So that's really where Pembina significantly benefits. 
Patrick Kenny: Maybe just on your hydrogen ammonia opportunity at Redwater, if I recall, I believe the FEED study was expected to be completed by now. So maybe just a status update there. And then curious too if you believe the sequestration economics for your customers can be underwritten solely by the proposed ITCs or if perhaps these economics are also contingent on mitigating the price of carbon through CFDs or otherwise. 
Stuart Taylor: Pat, it's Stu. I'll start. As you mentioned, we progressed our ammonia project. We're wrapping up the [ pre-FEED ] work. [ Mayor Ben] he's been a great partner to work with. We've progressed that study. It's a large amount of work. We have to look at the partnership, the capital structure, the capital for that project, look at the markets, the market timing, the Canadian government timing as well on things. And so we're continuing to progress that study and looking at the integration of all the pieces there. We're going to go and have further conversation with our partner in the coming weeks and see where we go with this project. It still is early days, and we're learning a lot as we go, and we're anticipating further information coming out from Asian governments as well as Canadian governments in the near future that will shed some light on the feasibility of the project itself. With respect to carbon pricing, we've done a lot of work on our ACG project. We're pretty pleased where we're sitting. We've completed our appraisal well. There's still some work, some downhole subsurface work that's going to be completed. We've got an infrastructure plan and a preliminary capital cost estimate for that. But there's no question on the carbon sequestration side. It comes down to we have a cost for the sequestration, our customers have a capture cost as well, and trying to find that balance of what can be afforded and what are the government policies on a go-forward basis from a pricing perspective and what's needed to support that project. And it's challenging at this point in time for, I think, many customers as the costs are not getting cheaper for carbon sequestration capture in particular. And so we're working through that with, again, our partner, TC Energy, and our various customers that we're having conversations with. 
Operator: There are no further questions at this time. I would hand over the call to Scott Burrows, President and CEO, for closing comments. Please go ahead. 
J. Burrows: Thanks, everyone. And thanks for taking the time to listen to us today. Again, just a friendly reminder of our AGM this afternoon and our Investor Day next week. And we look forward to seeing many of you there. Have a great weekend. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.